Operator: Thank you for standing by. This is the conference operator. Welcome to the Baytex Energy Corp Fourth Quarter and Year End Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity for analysts to ask questions. Form in the lower section of the webcast frame. Should you need assistance during the conference call, you may signal an operator by pressing I would now like to turn the conference over to Brian Ector, Senior Vice President, Capital Markets and Investor Relations. Please go ahead.
Brian Ector: Thank you, Michael. Good morning, ladies and gentlemen, and thank you for joining us to discuss our fourth quarter and full year 2024 financial and operating results. Today, I am joined by Eric Greager, our President and Chief Executive Officer, Chad Kalmakoff, our Chief Financial Officer, and Chad Lundberg, our Chief Operating Officer. Listening, please keep in mind that some of our remarks will contain forward-looking statements within the meaning of applicable securities laws. The refer you to the advisories regarding forward-looking statements, oil and gas information, and non-GAAP financial and capital management measures in yesterday's press release. On the call today, we will also be discussing the evaluation of our reserves at year-end 2024. These evaluations have been prepared in accordance with Canadian disclosure standards, which are not comparable in all respects to United States or other disclosure standards. Our remarks regarding reserves are also forward-looking statements. All dollar amounts referenced in our remarks are in Canadian dollars, unless otherwise specified. And following our prepared remarks, we will be taking questions from analysts. In addition, if you're listening in today via the webcast, you will have the opportunity to submit an online question, time permitting, we will strive to answer your questions. With that, I would now like to turn the call over to Eric.
Eric Greager: Thanks, Brian. Good morning, everyone, and welcome to our year-end 2024 conference call. I'm excited to discuss our 2024 results. But first, I want to take a moment and recognize the hard work of our high-quality teams in Texas and Western Canada. We have a strong and resilient organization that we are all proud to be part of. I'd like to give special mention to our field staff who work under extraordinary conditions. We were reminded of that again this year with extremely cold temperatures across North America. We are grateful to our employees and contractors for their commitment to operating safely and their perseverance to deliver energy to power people's lives. Let's turn to the highlights of 2024. Our 2024 production and capital expenditures were in line with original full-year guidance, and our results speak to our disciplined capital allocation philosophy continues to deliver increased per share returns. In 2024, we generated 10% production per share growth and grew reserves per share across all categories. We improved our cash cost structure by 5% on a BOE basis. We increased our 2P net asset value per share by 13%, we reduced net debt by 5% in Canadian dollar terms and 13% in U.S. Dollar terms. It's important to keep in mind that most of our debt is held in U.S. Dollars and converted to Canadian dollars for reporting purposes. On the reserves front, we replaced over 100% of our production on both 1P and 2P bases. Importantly, our booked drilling locations within our 2P reserves report represent only half of our net risk drilling inventory. We generated strong PDP recycle ratios of 1.9 times and 2.7 times on a 1P and 2P basis, respectively. This reflects the efficiency of our capital program and our high netback oil-weighted portfolio. Across these important value creation measures, I am pleased to say that our team delivered. Now I'll turn the call over to Chad Kalmakoff to discuss our financial results.
Chad Kalmakoff: Thanks, Eric. Our 2024 results demonstrate our commitment to generating meaningful free cash flow, delivering strong shareholder returns. We generated free cash flow of $656 million in 2024, and consistent with our plan and the timing of our capital program, over 70% of this free cash flow was generated in the second half of the year. With our balanced shareholder return framework, we allocate about half of our free cash flow to debt reduction and the balance to shareholder returns, which includes share buybacks and our quarterly dividend. In 2024, we repurchased 48 million common shares, representing 6% of our shares outstanding. In addition, we declared four quarterly dividends of 2.25 cents per share. Over the last six quarters, we generated free cash flow of $1.1 billion and returned $550 million to shareholders through our share buyback program and dividend. This includes repurchasing more than 10% of our shares outstanding. Debt reduction continues to be a priority. As Eric said, in Canadian dollar terms, we reduced net debt by 5% in 2024, but in US dollar terms, the reduction was more significant, at a 13% reduction. A stronger US dollar benefits our top-line revenues and bottom-line free cash flow. In 2025, we expect to generate approximately $400 million of free cash flow at US $70 WTI. Similar to 2024, our production profile and timing of capital expenditures, the majority of our free cash flow is expected to be generated in the second half of the year. Now I'll turn the call over to Chad Lundberg to discuss our operating results.
Chad Lundberg: Thanks, Chad. I am pleased with the results of our 2024 program. We safely executed on budget and delivered production consistent with our original full-year guidance. Across our portfolio, we delivered strong drilling and completions performance in the Eagle Ford and Pembina Duvernay and further delineated our Clearwater and Manville heavy oil acreage. In the Eagle Ford, we brought on stream 64 wells, including 51 operated. Our development program was largely focused on the black and volatile oil windows of our acreage, and we realized an 8% improvement in operated drilling and completions costs per completed lateral foot over 2023. In 2025, we intend to run a consistent two-rig, one-frac crew program, and are in the process of realizing a further 7% improvement in drilling and completion efficiency. In our Canadian light oil business, we brought on stream seven strong wells in the Pembina Duvernay and made substantial strides in advancing our understanding of the play. In 2025, we have expanded our program to include three three-well pads and look forward to sharing the results of the program later this year. In the Viking, we brought on stream 95 wells and anticipate a similar program in 2025. Our heavy oil business continued to deliver top well results in 2024. We brought on stream 31 Clearwater wells at Peavine, nine wells at Peace River, and 40 wells across the broader Manville group in Lloydminster. In 2025, we expect to bring on stream 112 heavy oil wells, including 33 Clearwater wells at the Peavine. As we progress through the year, our operating teams will continue to focus on safe and efficient development across our portfolio. And with that, I will turn the call back to Eric for his closing remarks.
Eric Greager: Thanks, Chad. I'm pleased with our 2024 operating and financial results, our free cash flow generation, and our demonstrated commitment to safe operations and shareholder returns. For 2025, our full-year guidance is unchanged with exploration and development expenditures of $1.2 billion to $1.3 billion and production of 150,000 BOE a day at the midpoint. As Chad Lundberg mentioned, we are planning an efficient level-loaded pace of development in the Eagle Ford, further acceleration and advancement of the Pembina Duvernay, and continued efficient heavy oil development along with a level Viking operation. We're well-capitalized and remain focused on discipline, capital allocation prioritizing safe operations, free cash flow generation, and shareholder returns. And now operator, we are ready to open the call for questions.
Operator: We will now begin the analyst submit your question in writing, please use the form in the lower right section of the webcast frame. If you are using a speakerphone, please pick up your handset before pressing the keys. The first question comes from Menno Hulshof. Please go ahead.
Menno Hulshof: Thanks and good morning everyone. I'll start with a question on tariffs given yesterday's update, and I maybe I should know this, but have they actually taken effect today? And if so, what are the mechanics of it, and how is that flowing through the business? And Eric, maybe, given your strong industry connections in the US, what is your best guess on how all of this plays out?
Eric Greager: I think Menno, first of all, good morning. Thanks for the question. As far as we know, the tariffs have been implemented and are effective this morning. So that's the best information we've got. The structure of these is still, I think, a little bit of a moving target because things are things move around, you know, it seems like constantly. What I would say is these are import tariffs. So products flowing into the United States. The importer is charged a duty, and that duty is the direct kind of first-order consequence of the tariff. And that's pretty straightforward, I think, to calculate. The thing that becomes really difficult is the second and third-order consequences and how those impacts are distributed to the economy. The forward and backward linkages and what that means to distribution of impacts. My hunch is that if the impacts are uniform on Canadian energy imports to the United States, that it's going to disproportionately impact Midwest refiners, because of their dependence on pipeline connector WCS. And I expect that to be pretty substantially negative and that's not going to be entirely borne by the Canadian energy exporter. That's what I think will ultimately begin to happen. But I think the tariff conversation, both the quantum and some nuance between product streams is also probably still a moving target. We are shielded to a certain degree because 60% of our production originates on the US, Texas, Gulf Coast. Sold, produced in Texas, sold in Texas, denominated in the US dollars, and handled in our US operation, our US organization. And pay down against US debt with all within the ring fence of the US. And that protects us, that insulates us. To what degree over the long arc of time, that's all gonna change and kind of share impacts, it's difficult to know, but we do expect some insulation directly as a consequence of that 60% cash flow from the US. Other than that, I think sorry, Menno. Other than that, the only thing I think that is worth pointing out is that the best reflection of tariffs flowing through any of our businesses in Canada Canadian producers is on the basis tips. Right? We'll watch that. That'll price the impact in. Kind of continuously. Sorry. Go ahead, Menno.
Menno Hulshof: No. That was that was that was great color, Eric. Maybe I'll just flip over to oil prices. There's as you can appreciate, there's a growing bearishness out there. I'm looking at my screen, and we're down another two and a half dollars today. We were to assume that oil prices check back to sixty dollars and sit there for a while, what changes should we expect in terms of how you allocate capital into the end of the year and beyond?
Eric Greager: Yeah. It's a great question, Menno. And, you know, we've been I would like to say preparing for this, if you think back to our December 2025 budget when we released it, we marked that against a $65 WTI environment. And in that period of time late in 2024, prices were, you know, in the mid to high sixties and the 2025 forecast looked weak. It rallied through the end of the year and in the early part of 2025. But it's weak again. And so what I would say is I'll reiterate what I maybe said then even during that budget announcement which is we will rationalize low returning projects when prices, you know, drive those returns to the point of it not being worth investing the capital in. And those will be distributed across our portfolio. There's probably no part of our portfolio that will be immune to it. Because we have, you know, a distribution of, you know, assets across each play. And, you know, we're running asset level economics which honor, you know, obviously, the basis differentials, the low local pricing, and all the rest. And so I can't give you a quantum right now, but what I would say is if prices move down to there will be a couple of consequences. One, we and many others are likely to pull back on capital activity and that should help solve the problem. The other thing that'll happen is input cost will fall as a consequence of that reduced tax activity and that should lower breakevens not just in our business, but in others as well. And so with that, I'll kick it back to you, Menno, and see if you've got other thoughts.
Menno Hulshof: No. That's that's it for now. Thanks, Eric. I'll turn it back.
Eric Greager: Thanks, Menno.
Operator: Our next question comes from Greg Pardy with RBC Capital Markets. Please go ahead.
Rob Mann: Hey, good morning. This is Rob Mann on for Greg Pardy and thanks for taking my questions. My first one just around your reported F and D costs, which came in much lower relative to 2023. Is there anything specific you could point us towards that drove the improved results?
Eric Greager: Yes. Well, good morning. Thanks, Robert. You know, what I would point to is a couple of things. Improvements in capex and cash costs. You know, across the board, that helps. On the F and D. And improvements in, you know, performance and in, you know, the quality of the high-value oil stream. I'm gonna see if Chad Lundberg's got anything he wants to add to that, but I think, you know, this F and D commentary and the whole strong PDP reserves print really is a function of across-the-board improvements, and maybe Chad can talk a little bit more about just the CapEx. Improvements that have been made across the board, but in particular in the Eagle Ford.
Chad Lundberg: Well, yeah, I was just going to go to the results we drove out of Eagle Ford last year. We saw an 8% improvement in our capital costs, and that's manifesting at to the reserves book with respect to future development costs and ultimately driving in this case, a stronger F and D. We're proud of in this case, the Texas team. We think we have more efficiencies coming this year. Upwards of 7% that we're starting to realize as we operate now through Q1. And so keeping the trend going, I think just the last piece of it on OpEx not all a capital cost equation. On the operating front, it's the same, a full court press across the entirety of our operation. And we have been realizing again, some strong results there.
Rob Mann: No. That's great. Thank you. Just for my next question, shifting gears a little bit, just to your Duvernay activity this year, could you provide us with any additional details in terms of timing and drilling program specifics? I'll leave it there after that. Thank you.
Chad Lundberg: Great. Thank you. Duvernay, we have our drilling rig mobilized and we've been drilling ahead since the beginning of the year. We'll keep that rig on location drilling these three three-well pads. And everything is moving according to plan. We continue to make improvements both in the design and in execution. You might recall last year, I was really, you know, positively impressed with the pace of improvement. I think we drilled those wells in 2024. 20% faster and 10% cheaper than the year prior. And we're on course to continue to make improvements not just on the cost side of the business, but on the capital side of the business. And importantly, we've still got levers to pull in designs in the works that will drive improved well performance. Out of the reservoir. And so I think there's still a lot to go there. But three three-well pads are underway. And as soon as we have the opportunity to move in the frac crew, on the first pad, we'll do so. Chad, you wanna add some color to the timing there?
Chad Lundberg: Well, I was gonna add two things. So, I mean, we're just releasing our first drill means we're getting into completion operations. You could expect results in the Q2 release time frame on the first pad coming online. Just Eric's point, we're gonna continue last year's capital reductions, the drill date reductions, We've also moved long ways on just development and understanding of the play. Headline 40% increase in IPs last year. On our 24 program, and then probably even more importantly, just thinking longer term, we're still seeing a trend up on EURs. So 15% bump on EURs over the 23 program. And that's really a result of the frac efficiencies, really understanding the stimulation. And then a lot of that, I think the last point would be the cross-border collaboration with the Eagle Ford where we're really just understanding the unconventional space and taking our learnings from both areas to deploy into each other and make them better.
Rob Mann: That's great. Thanks, guys.
Operator: This concludes the question and answer session from the phone lines. I'd like to turn the conference back over to Brian Ector for any questions received online.
Brian Ector: Okay. Thank you. Yes, we've got a few questions come in online. The first question an investor noted the asset exchange on the Peavine Metis settlement area of 44.5 net sections of land acquired. Just to comment on some additional color around that exchange assets we exchanged. It was a cashless transaction, I believe. Any color you can share around that addition to our acreage position?
Eric Greager: Yeah. What I would say is, you know, clearly, the Peavine heavy oil team at, you know, at Peavine had really moved quickly back in, you know, 2020 and 2021 ring fencing and identifying the best quality res four. You know, our and we've now added some adjacent reservoir our partner up there. And I don't mean the Peavine Metis. You know, the surface owners and the community in which we operate. But more importantly, I'm referring to, you know, the operating partner that traded these lands, you know, they were adjacent to us. They weren't having the same success on these lands that we've enjoyed. Within, you know, the confines of our Peavine asset boundaries. And so, you know, it's just good business for both sides to core up a little bit. And so we took the strength and scale of our Peavine asset and cored up around it. And, you know, we had other things to offer the counterparty that were, you know, more valuable to them than they were to us. So it's really a win-win. And it's good business. We've got a great relationship with the other parties up there, and it just worked out well for both sides.
Brian Ector: Thanks, Eric. A couple of questions, and then it's kind of a three-part question that I'm gonna aggregate from a few questions that have come in today. But around the US dollar, do you normally do that? You guys return to market. Eric and Chad, you spoke to him as well. In US dollars, we paid off $241 million in 2024. It's less in Canadian dollar terms. Eric, can you just or Chad, provide some additional context or color on our reporting of our debt? And the actual debt repayment that we're seeing.
Eric Greager: Yeah. It's I'm gonna start and then I'm gonna kick it over to Chad to fill in the blanks. Because I probably won't get it all comprehensively answered. I think it's really important to understand that most of our debt that both bond issues and most of our facilities are US dollar denominated as their native currency. So they sit, you know, with US dollar statements, and that's the native currency. So when we report on any of these debt instruments, we have to convert into Canadian dollars for Canadian reporting purposes. And when US Canadian FX expands, when the US dollar strengthens against the Canadian dollar, then what happens is that multiplier goes up, and it makes the debt look as though when you report it in Canadian dollars, look as though it's not going down as fast as it really is. Because in the native currency, we're paying it down but it's being multiplied against an ever-increasing, you know, weakening Canadian FX multiplier. And that has been difficult to describe over time. And so what we're trying to do today and going forward is to describe our US dollar denominated debt in US dollar pay down because that's the most clear and straightforward way to do it. And it then allows readers to understand that, you know, we've actually paid down more US dollar debt in a quantum and the dollars are bigger, when you pay down at US dollar versus a Canadian dollar. So we've made a lot more impact than has previously been, I think, appreciated. So that's kind of a long answer, but Chad, it might anything you'd like to say beyond that?
Chad Kalmakoff: No. I don't think I'd add anything. I think the other commentary would be generally do have 60% of our business in the US. So we kinda look at that as that US dollar debt being naturally hedged against the value of that US business, we generate US cash flows, which can then repay in US dollars. So, you know, it is a bit of a nuanced converging conversation on the day of reporting that the debt gets valued on versus kinda the longer-term, you know, debt pay down, which not problematic given the size of our US business.
Eric Greager: Yeah. Another way to think about it would be to add the debt reduction in Canadian dollar terms to the FX line sum those two, and that is in Canadian dollar terms what you would have paid down in US dollar terms given the exchange. It's a different way to think about it, but it's important to understand that the native currency is US dollars, and it has to be converted to LUNIIS for reporting purposes. To Canadian dollars for reporting purposes. And that's an important thing to understand.
Brian Ector: K. Thanks. Thanks, guys. I think part two of the question Chad, you may have already answered this, but have you considered or have we considered hedging the FX rate related to our debt?
Chad Kalmakoff: Yeah. I guess short answer is we have. I think, you know, when we issue the debt, generally speaking, we think of the hedge as a natural hedge against the US business. So I know I guess, another way to think about that is if we had an entirely Canadian business we may have considered hedging the repayment terms in Canadian dollars, you know, like some others would kind of the Canadian industry. But again, we think about it as just naturally hedged against our US business. So, you know, I think we think of it as hedges already.
Eric Greager: It's also important to understand that, you know, when the US dollar strengthens, our revenues at the top line benefit and that flows all the way through the business to our bottom line free cash flow which also benefits as a result of a strengthening US dollar. If we talk just about CapEx or just about debt. In Canadian terms it gets distorted because of this translation, but you have to understand, top-line revenues benefit from strong US dollars and flows all the way through the business to stronger free cash flows at the bottom line.
Brian Ector: And so the final question relates to the $1.5 billion debt target that we have laid out to achieve are there any opportunities through the portfolio, Eric, that could accelerate the timeline reach that target.
Eric Greager: Yes. Thank you, Brian. And I think this is an ongoing conversation. You might recall at the end of 2020, we sold a third of our Viking. We called that asset Foregan and Play Doh and we applied that those proceeds straight to our outstanding debt balance. Just a few months ago, we sold a small thermal operation in Saskatchewan, called Crawford Thermal. That also the proceeds from that sale also went straight to debt. And that should demonstrate our willingness to continue to find opportunities within our portfolio. The thing that's challenging is, you know, you don't wanna sell assets that are disproportionately beneficial to the whole in terms of their free cash Jared. Capacity. Right? So you wouldn't wanna sell more cash flow than you get in the benefit of proceeds or sell it at a too low a price. So the answer is yes. We do continue to think about it, and we do continue to act on it. When the opportunity presents itself. In the meantime, we will continue acting prudently within our business to generate free cash flow and allocate that free cash so to both debt repay and shareholder returns.
Brian Ector: A question on the shareholder return framework. For Eric. Yeah. Questions asked around, and we talked about the debt repayment. I guess it's just reiterating our commitment to the existing shareholder return framework, the composition of buybacks, versus the dividend. You what your thoughts on the composition of the returns?
Eric Greager: Yeah. So the fixed base dividend is just that. It's two and a quarter cents per quarter or nine cents per share per year. And that's a fixed based dividend. Every share benefits from that quarterly. The other portion of direct shareholder returns is, you know, through our normal course issuer bid. So we continue to buy back shares. And that continues to improve the business over time. And then the other half of the free cash flow is allocated to debt repayment. I would point out that, you know, the quantum of debt we get questions on, but I think one of the things that's important to understand in our capital structure is that we are termed out to 2030 and 2032 on the notes. So this is more than, you know, this is five years on one note and, you know, seven years on another note. And when we refinanced, the bonds in 2024, took a point and a half of coupon out when we refinanced them, and our credit facility. By refinancing, we are also able to push our credit facility term period out two more years to 2028. So we have $344 million Canadian balance on our credit facility? In a decent price environment, that's gone in four or five quarters. And, you know, we have a credit facility with lots of capacity no outstanding balance, and years of fixed term remaining before, you know, the bonds become current. And that gives us lots of opportunity to buy them in the market and manage that over. And so it's really important to understand. The quantum might seem high, but the term structure of the debt and the cost of that debt in coupon terms is pretty reasonable. It's about six six and a half percent on an after-tax basis.
Brian Ector: Thanks, Eric. And, Patty, a couple of questions have come in. On just the share price performance of late Menno alluded to it in his opening questions around WTI prices and where they're at. Just a comment, Eric, as we wrap up on the share price and your thoughts around what's going on in the macro environment.
Eric Greager: Yes. Well, the macro environment not good for WTI, and I think the volatility not just in oil space, you know, OPEC's announcement recent market. Yeah. It's what has pushed prices down. We will continue to monitor the situation and react prudently. Following the economic guidance of our assets. And, you know, we will not make non-economic investments. And so, you know, if the price environment forces us to do so, we're prepared to do so. But we did roll this budget out in its current construct with an eye towards $65 WTI. Which is kinda where we were when we rolled it out and where we are today. I'm not concerned about the resiliency of the US economy. I believe the US economy is strong, and I believe almost everyone who's watching the fundamentals, you know, agrees. And so, you know, this period, there'll be periods of up cycle and down cycle, and we're prepared to react properly and prudently to those down cycle environments.
Brian Ector: Alright. I think we're coming up on just over thirty minutes here, and I think at that point, well, we'll reach the end of today's call. So I'd like to thank everyone for participating. Those who submitted questions, the webcast of your question was not addressed please reach out to our investor inbox, and we will be sure to respond. And with that, thank you, operator, and thanks to everyone for participating conference call, and have a great day.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.